Operator: Good day, and welcome to the News Corp Second Quarter Fiscal 2020 Conference Call. Today’s conference is being recorded. Media will be on a listen-only basis. And at this time, I would like to turn the conference over to Michael Florin. Mike, Senior Vice President and Head of Investor Relations. Please go ahead, sir.
Michael Florin: Thank you very much, Eduardo. Hello, everyone, and welcome to News Corp’s Fiscal Second Quarter 2020 Earnings Call. We issued our earnings press release about an hour ago, and it’s now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Susan Panuccio, Chief Financial Officer. We’ll open with some prepared remarks, and then we’ll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp’s business and strategy. Actual results could differ materially from what is said. News Corp’s Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautionary statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements such as total segment EBITDA, adjusted segment EBITDA and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in our earnings release. With that, I’ll pass it over to Robert Thomson for some opening comments.
Robert Thomson: Thank you, Mike. Before we begin the formalities, I would like to express my sincere thanks to our readers, customers and employees in Australia, who have combined to respond thoughtfully and meaningfully to the tragic bushfires, which has had profound consequences for many communities. In particular, our reporters and editors and photographers have done an extraordinary job in tracking the fires and highlighting the impact of the tragedy on towns and regions that will take much time to recover. We are pleased that the company and its founders have pledged more than AUD 11 million to the cause and our company has continuing fundraising campaigns that will contribute significantly more over the coming months. We also thank the many companies, which had partnered with News Corp to make a positive difference for Australian communities. Turning to our results, as we anticipated the second quarter was somewhat soft for various businesses. However, we expect improvement in the second half as real estate markets in Australia show signs of gradual recovery, and we continue to progress with Opcity at Move, which should benefit the performance of our digital real estate businesses. We also expect faster growth in digital revenues at Dow Jones from the previously announced content licensing arrangements, particularly with Facebook, and improvement in book publishing based on the timing of the release schedule. Meanwhile, we are on the cusp of the seasonal selling peak for Foxtel, given that the main winter sports as soon to launch and Kayo, our streaming service, has already started seeing upturn in new subscribers even though we are still in the midst of the low season for sales. We took an important step on our path towards simplification with the sale of Unruly and notable development, which will yield financial benefits for us going forward. And I am pleased to say that following our strategic review of News America Marketing, we are engaged in negotiations for a sale of that business. These ongoing simplification efforts shine a brighter light on the intrinsic and increasing value of our core assets, which have been tightly unappreciated and underappreciated for too long. For the quarter, the company reported total revenues of approximately $2.5 billion with total segment EBITDA of $355 million. This represents a decline of 6% in revenues and 4% in profitability versus the prior year. Foreign exchange fluctuations affected our results with a $50 million effect on revenues, or negative 3%. As I mentioned last quarter, we are now seeing the early benefits from our long battle for equitable treatment by the dominant tech platforms. In particular, our deals with Apple and Facebook are beginning to yield financial dividends, and we welcome their respect for the premium journalism produced by the talented professionals in News Corp. There are also positive signs that Sundar Pichai at Google has a thoughtful appreciation for the profound social influence of high-quality journalism. In Digital Real Estate Services, listing volume in Australia remains challenged. But the trend improved somewhat in the quarter, particularly in Melbourne and Sydney. REA Group posted record traffic in October and buyer inquiries were up 37% in Q2 versus the prior year. These signs point to a gradual recovery this year in the Australian housing market, which will obviously be efficacious for REA’s revenue. At Move, operator of realtor.com profit contribution showed a substantial improvement in the quarter. Real estate revenue grew 4% as we transition to the referral model, which had a natural impact on the timing of revenues. Key indicators for the property market are encouraging and we expect to see improvements that Move in the second half of the year largely due to the progress at Opcity. We also envisage increasing monetization of relevant adjacencies as we further leverage our deep transaction data, which is made significantly more valuable by Opcity’s ability to define and refine leads. Despite Q2 being a weaker quarter seasonally, we nonetheless saw traffic up 9% year-over-year and then more than 30% increase in page views based on internal metrics. Throughout most of calendar year 2019, realtor.com continued to gain audience share relative to Zillow and Trulia according to comScore. We welcomed that David Doctorow to Move this week as the new CEO. David is savvy digital commerce leader comes from eBay and had previously worked at Expedia. His technological vision and marketing prowess will serve realtor.com and News Corp well in the years ahead. Tracey Fellows, who ably served as acting new CEO, is now focusing on her role as President of Global Digital Real Estate and will be emphasizing the development about burgeoning digital real estate assets. Speaking the new talent of News Corp, I’m also pleased to note the arrival of David Kline as News Corp’s Chief Technology Officer. David was at Viacom for the past decade and earlier at Discovery Communications, and he’s expert at driving innovations and efficiency in global content businesses. David will ensure that our global shared services are robust at costs and manage institutely, security integrity is heightened, and technological creativity is enhanced. The News and Information Services segment showed tangible improvements in the quarter. The segment EBITDA increasing 27% versus the prior year. Dow Jones had another strong quarter with 17% growth in digital-only subscribers including 13% growth in Wall Street Journal, digital subscriptions year-over-year. The journal’s total subscriber base continues to set records with almost 2.7 million subscribers as of the end of the second quarter and more recently, Dow Jones consumers’ subscriptions achieved the new record surpassing 3.5 million with the journal crossing the two million digital subscriptions mark. I would like to highlight the continuing success of risk and compliance, where revenues grew a healthy 21%. In fact, Risk and Compliance has now seen over 20% revenue growth for 12 straight quarters. We believe the intrinsic value of this business is rising, validated by recent transactions in the sector, where acquisitions and commanded multiples of 20 to 25 times EBITDA. Risk and Compliance is not only a jewel in the crown at Dow Jones, but is on the way to becoming one of News Corp’s most valuable assets. Our efforts to leverage The Wall Street Journal’s content continue to yield benefits and are clearly seen in the success of the journal, the podcast produced with Spotify. Since September launch, there have been 20 million downloads. We still have work to do in perfecting podcast, but the acquisition of wireless in the UK has given us direct access to a professional pool of broadcast help. And at the WSJ, we have just begun recognizing revenues from our Facebook content licensing agreement with that contribution meaningfully increasing in the second half of the fiscal year under the terms of that contract. Barron’s subscribers hit a record at 615,000 in Q2, up 8% over the prior year, and we launched a new show on the Fox Business Network during the quarter. Barron’s Roundtable, which already has a full roster of sponsors. In the UK, where political stability and leadership have relatedly returned. News UK had a strong quarter reflected in results from The Times, Sunday Times and The Sun. We saw higher ad revenues at News UK in Q2 with digital growth outpacing print declines, led by meaningful improvement at The Sun, whose audience grew to approximately 134 million global average monthly unique users in Q2, an increase of 9% on Q1 according to Google Analytics. The Times and Sunday Times added digital readers and reached 320,000 subscriptions in Q2, up 19% year-over-year. Speaking of these publications, News UK, last week announced the creation of Times Radio, a new digital station, which will bring together the expertise of The Times and the Sunday Times, and Wireless. The Sun also moved to monetize its already substantial American audience by launching a U.S. based website last month. Early signs strongly suggest that he’s tapping into an underserved growing and potentially lucrative forums. In Australia, where the economy has been a little listless and currency relatively weak. Our mastheads expanded to more than 566,000 digital subscriptions as of the end of the quarter, 23% year-over-year growth. That figure is led by the continued digital transformation at the Australia with 65% of total subscribers now, digital-only. In the U.S., New York Post revenues rose with digital advertising again, reaching over 70% of total advertising revenues and achieving more than 20% revenue growth. The post digital network had an audience of 95.2 million unique visitors in December, up over 30% year-over-year. Also in the U.S., just last week, we launched news.com in beta, delivering a uniquely-wide range of automated and curated journalism to readers on mobile and digital. news.com offers prominence for providence, and I used to bring as much data as possible to publishers, while subscription sites will not be punished in the ranking system, but combining sophisticated artificial intelligence with professional editing, news.com exposes readers to a vast array of news and views from left to right, from large publishers to small, national and regional and from every state in the country. In its first week of soft launch, news had 258,000 users according to Google Analytics. I recommend that you all downloaded the news app. If you don’t use, you simply don’t know. Turning to Subscription Video Services. Foxtel subscribers increased by 3% to 2.95 million. Benefiting from the launch of Kayo in November 2018. We are in the traditional low season for sports subscriptions, but Kayo had 372,000 subscribers and 350,040 paid subscribers as of the quarter’s end, up from 42,000 at the same time last year. As of February 5, Kayo had over 370,000 paid subscribers. A positive trajectory as we head into the highest season for sports in Australia. Customer reviews are overwhelmingly positive, and user interface and experience of world-class, in fact, they are peerless. Foxtel remains focused on the user experience and strengthening the core foundation of its business, including its powerful entertainment lineup. Now, featuring six new Fox branded channels, more video on demand content or refresh to move the offering and a partnership with Netflix among various other streaming services. Foxtel also completed key content agreements with NBCU and Discovery in the quarter, providing more on-demand content, so that it is the go-to-provider of programming in Australia. Finally at Foxtel, we are planning our entertainment OTT product, which is built off the Kayo system and like Kayo will help maximize the value of existing rights and reach binge conscious consumers outside our traditional low. In Book Publishing, we had tough comparisons with the prior year though HarperCollins did see better growth sequentially in digital through the continued expansion of audiobooks. David Walliams’ latest children’s book The Beast Of Buckingham Palace did well in the UK. We are confident that we should see improvement in the second half, given the timing of the release schedule the continued popularity of the Dutch House by Ann Patchett and the recent successful release of Profiles in Corruption by Peter Schweizer. We also look forward to the April release of Volume 2 of Joanna Gaines, highly popular Magnolia Table. We have also just released books by Jessica Simpson and Carrie Underwood and in May, we expect to benefit from the release of the film, The Woman in the Window based on autonomous best seller by A. J. Finn. To summarize, the first half was as expected that had sluggish, but we see progress across many of the segments in the second half. It is increasingly clear that News Corp is harvesting benefits from being a creator of content as markets, societies and the big tech platforms appreciate its commercial value. We are simplifying the structure of the company with a view to maximizing its value for investors. As a result, for example, the inherent value of our digital real estate assets and Dow Jones will be more obvious to the benefit of all our shareholders. And now, for more details on the second quarter and financial 2020, I’d turn to Susan Panuccio.
Susan Panuccio: Thank you, Robert. turning to the financials, fiscal 2020 second quarter total revenues were approximately $2.5 billion, down 6% versus the prior year and total segment EBITDA was $355 million down 4% versus the prior year. On an adjusted basis, which excludes the impact of acquisitions and divestitures, currency fluctuations, and the other items disclosed in our release, revenues fell 4% and total segment EBITDA decreased 3%, a notable improvement from the prior quarters EBITDA performance. For the quarter, diluted earnings per share were $0.14 as compared to $0.16 in the prior year. Adjusted earnings per share were $0.18 in the quarter flat with the prior year. Turning now to the individual operating segments. in News and Information Services, revenues for the quarter were over $1.2 billion, down 1% versus the prior year. on an adjusted basis, revenues were flat reflecting a material improvement from the prior quarter. Advertising fell 5% while circulation and subscriptions grew 3% despite currency headwinds, digital revenues for Dow Jones and the newspaper mastheads represented 39% of their combined revenues, up from 35% in the prior year. Segment EBITDA for the quarter was $142 million, up 27% from $112 million, benefiting from the growth at News UK and Dow Jones. There was a one-time benefit of approximately $22 million due to the settlement of certain warranty-related claims in the UK. However, even absent that benefit, we saw growth in segment EBITDA. This was driven by the UK, Dow Jones and the narrowing losses at the New York post, partially offset by lower contributions from news Australia and news America Marketing. Similar to the first quarter, we reclassified approximately $8 million of cost in the second quarter of fiscal 2019 from the other segment, the News and Information Services segment. These reallocated costs are related to various initiatives including news IQ, our global programmatic effort and certain shared technology services that directly benefit the News and Information Services segment, as part of our ongoing efforts to leverage our global scale to lower cost. Turning now to the segment highlights. at Dow Jones, consumer circulation revenues grew at a healthy 5%, reflecting 17% growth in digital-paid subscribers across Dow Jones consumer products. This includes 13% growth in digital-only paid subscribers at The Wall Street Journal. In the aggregate, The Wall Street Journal subscriber base reached approximately $2.6 million. professional Information Business revenues accounted for 27% of Dow Jones revenues this quarter, growing 8% to $115 million maintaining momentum from the first quarter. As Robert mentioned, the key growth engine continues to be in risk and compliance, which grew a healthy 21% this quarter. This is a highly profitable and scalable business and is on track to approach $160 million of revenues this fiscal year. The Newswires product also showed growth benefiting from licensing deals with Bloomberg and FactSet, while Factiva was stable. advertising at Dow Jones was weaker this quarter, falling about 5% compared to the prior year. Digital accounted for 43% of advertising revenues. digital advertising was lower in the second quarter, primarily due to tough comparatives from the prior year, which showed significant programmatic growth from MarketWatch. However, we have seen a strong start so far this quarter although visibility remains limited. while it is very early days, we are making progress on monetizing valuable third-party partnerships, which is our key strategic focus as we expand the reach of Dow Jones and the Wall Street Journal across digital platforms and markets. These include deals with Twitter from WSJ; watch now videos our week-day podcast, the journal with Spotify and our recent content partnerships with Apple and Facebook. Overall, Dow Jones posted 4% revenue growth and another quarter of increased segment EBITDA contribution. elsewhere across our news portfolio, advertising conditions were mixed. News UK’s advertising revenues rose 5% on both the reported and local currency basis representing the second consecutive quarter of year-over-year growth on a local currency basis, led by digital advertising growth at The Sun and moderating print declines. Advertising conditions in Australia remained challenging, but improved slightly from the prior quarter rate with revenues down 11% on a reported basis and down 7% in local currency. for circulation revenues, the increase in cover prices and digital subscribers that both news Australia and New UK helped mitigate print volume declines and Australian currency headwinds. Finally, at News America Marketing, revenue fell 4%, an improvement from quarter one. Turning to the Subscription Video Services segment. Revenues for the quarter were $501 million, down 11% versus $562 million in the prior year, of which $25 million or 5% was due to the negative impact from foreign currency. on an adjusted basis, revenues declined 6%. Broadcast subscriber trends were relatively similar to the prior quarter with the revenue decline, driven by a lower broadcast subscriber base and changes to the broadcast subscriber package mix as well as modestly lower pay-per-view revenues. Revenue declines were partially offset by expanding OTT revenues. As a reminder, we lacked a price increase from last year, which also impacted the year-over-year comparison. Segment EBITDA in the quarter was $70 million, down 17% from the prior year driven by the revenue decline, partially offset by lower total costs including programming and transmission costs as the team at Foxtel continues to focus on streamlining business. Turning to the KPIs. Foxtel’s closing paid subscriber base was approximately $3 million as of December 31, reflecting a 3% growth with 96,000 subscribers versus the prior year driven by the launch of Kayo in November 2018. total paying OTT subscribers reached 684,000, up 73% versus last year. We have seen over the past year that Kayo’s paid customers will increase around key exclusive events with the conclusion of Australia’s popular winter sports and the Rugby World Cup. The number of paid subscribers in Kayo fell from the prior quarter. notwithstanding Kayo viewer engagement continues to be strong to the subscribers watching an average of 5.3 weekly hours with the average customer watching seven of the 50 different sports available on Kayo each week. We’ve also been pleased with increasing brand awareness, the stability of the platform and more importantly, customer feedback in relation to the user experience. Kayo’s solid subscriber base gives us optimism as it enters its second year ahead of the prime winter sports selling season. The team continues to work on a new OTT entertainment product built on the Kayo technology platform with the commercial launch anticipation in the fourth quarter. in the second quarter, broadcast churn is 16%, which is slightly higher than the 15.6% in the prior year. Foxtel direct channel churn of 14% with 2.5 points lower than the prior year, which was the lowest second quarter rating for year. like last quarter, the main driver behind the higher churn is coming from the lower ARPU Telstra wholesale customers on the expiring contracts from the past 12 to 24 months. broadcast ARPU declined about 1% to over AUD 77 per month. In November, we completed the refinancing of a significant portion of Foxtel debt, which extended maturities for at least three years. more details will be available in the 10-Q filing. At Book Publishing, HarperCollins revenues for the quarter fell 11%, $442 million and segment EBITDA fell 28% to $63 million. As we have previously indicated, the revenue decline this quarter was primarily due to a tough comparison with the prior year, which included Homebody by Joanna Gaines, Girl, Wash Your Face by Rachel Hollis, The Hate U Give by Angie Thomas and hired back with sales from the subtle art by Mark Manson. The declines were partially offset by new releases, which includes the Pioneer Woman Cooks: The New Frontier by Ree Drummond and The Beast of Buckingham Palace by David Walliams. We saw a 5% improvement in digital sales compared to the prior year, primarily due to the 17% growth in downloadable audio books. Overall digital sales represented 19% of consumer revenues for the quarter. Progress is being made with our non-publishing ventures. We expect the partnerships with Elizabeth Gabler’s group of Sony pictures and Bell Media to provide a longer-term payoff. These partnerships underscore the value of our intellectual property and should allow us to capitalize on other revenue streams with very modest capital outlay. At the Digital Real Estate Services segment, revenues were down 5% to $294 million, of which foreign currency fluctuations had a negative impact of $8 million or 2%. On an adjusted basis, revenues declined 3%. REA Group revenues were down 8% or down 4% in local currency. The decline moderated from last quarter, but the benefit from higher yield and improved product mix in the residential business were more than offset by a 12% year-over-year decline in the new listing volume during the quarter although the rate improved in each month during the quarter. Traffic page views, app launches, all trends at higher and we are seeing key indicators pointing to a gradual property market recovery. in the developer market, new project commencements fell 33% in the quarter and the associated revenues have remained challenged. Please refer to REA’s earnings release and a conference call that just concluded for additional details and comments on the outlook. move revenues declined 1% to $121 million, although importantly, real estate revenues grew 4%. revenue trends slowed in the quarter, primarily due to the lapping at the Opcity acquisition in October 2018 and the subsequent transition of leads from the core league model to the referral model, which has a tiny impact as revenue is recognized when a transaction closes. the increasing real estate revenues, which represented 82% of total move revenues was led by growth in audience and high lead volume together with an increased penetration of local expert, a local branded product. Results at Opcity remain encouraging as we saw improvement in the KPIs across the 17 markets we are testing including and most importantly close rates. We are very encouraged by the results and continued to anticipate improvements at move in the second half. on audience, average monthly unique users for the quarter at realtor.com were $59 million rising 9% versus the prior year and a gainful, very strong year-over-year growth in page views and time spent on site. segment EBITDA sell 2% or $118 million; however, on an adjusted basis, EBITDA rose 2%. results reflect increased profit contribution at move, benefiting from phasing of marketing, restructuring changes implemented late last year and the lapping of investment costs at opcity, offset by lower REA revenues. I would now like to talk about some of the themes in the upcoming quarter. at News and Information Services, overall advertising trends thus far remain similar to the prior quarter levels, although visibility remains limited, we expect to see improvements at Dow Jones from increased licensing revenues from previously announced content licensing agreements notably from Facebook. As I noted, we have also seen a pickup in digital advertising at Dow Jones so far this quarter. Overall, we would expect to see improvements compared to the prior year among our news brands although news America Marketing likely remains challenged. in Subscription Video Services for the third quarter, we expect approximately $10 million of costs related to the accelerated amortization that we previously noted and modestly higher marketing costs in front of the key winter sports selling season. However, we expect full-year costs to be relatively stable with the prior year in local currency given the lower total expenses this quarter as I noted earlier. in Book Publishing, as Robert mentioned, we expect the timing and slate of new releases combined with less challenging prior-year comparisons in the fourth quarter to lead to improvement in book publishing in the second half. and at Digital Real Estate Services, as noted in their release, REA anticipates more favorable listing conditions in the second half of financial year 2020 to deliver a stronger revenue outcome. Please see their release for more details. We also expect improvements in the second half with the ongoing progress at Opcity. With that, let me hand it over to the operator for Q&A.
Operator: [Operator Instructions] All right. And I’ll take our first question from Kane Hannan at Goldman Sachs. please go ahead.
Kane Hannan: Good morning. Just two from me please. Firstly, to ease up those around the expected timing on that NAM final negotiations. And also your latest thoughts around the use of these proceeds. Now, the Foxtel debt financing has been finalized? And then secondly, just on the entertainment OTT plans. What should we read into the HBO max trademark that was recently filed in Australia? And can you comment on how you think about the importance of HBO OTT or Foxtel’s entertainment offering? Thanks.
Robert Thomson: First of all, News America Marketing was indeed marketed. We’re engaged in active negotiations for the sale of the company. And I’m happy to report that those discussions are well advanced. Frankly, the company’s balance of revenues have shifted from being a newspaper insert company to being more of an installed marketing company. The letter is certainly a profitable business, but not core to our competencies. I won’t comment on the use of the funds. as for HBO-related questions, you really should pose those to HBO. What I would say is that we have an unparalleled collection of programming at foxtel, where unlike U.S. cable companies in the past week ranges across a real range of providers. And there’s no doubt, for example, with recent renewals of Fox, NBCU, Sony, Discovery, BBC, we still have two more years of HBO that we’re in very good shape.
Michael Florin: Thank you, Kane. Eduardo, we’ll take our next question please.
Operator: Yes. I’ll take the next question from Entcho Raykovski of Crédit Suisse. Please go ahead.
Entcho Raykovski: Hi, Robert. Hi, Susan. My question is around Kayo, obviously subs the client in the quarter, you’ve pointed to some states and all factors driving these. I’m just interested in how is that decline is compared to your expectations. Are you a little bit surprised that that subs it down over the period? And I mean do you feel that we have now reached close to full penetration for Kayo. It’s fairly – fairly seems to launch. And then just related to that, I mean, do you think pricing speaks to the right level? Do you feel like you need additional content? Any comments would be helpful.
Robert Thomson: Entcho, it’s a very early phase of the evolution of Kayo and it has been an exponential evolution. If you look at really only been in existence for just over a year. And as you know, we are very much in the low sports season in Australia. Our crickets fascinating, sometimes antediluvian as it can be is not as compelling for crowds in Australia as Aussie Rules or Rugby League. But cricket has certainly made a positive difference to audience retention. But the winter sports in Australia are about congregation and audience aggregation and we’re on the cusp of that selling season. There’s no doubt that Kayo is an absolutely world class OTT offering, also no doubt that it has a hell of a runway. As you know, the customer reviews are resoundingly positive. I mean, streaming technology without equal in Australia, is unrivaled and non-pareil [ph]. And let us be clear, this is not a 699 offering, but a premium $25 a month product.
Michael Florin: Thank you, Entcho. Eduardo, we’ll take our next question.
Operator: Our next question comes from Alan Gould at Loop Capital. Please go ahead.
Alan Gould: Thank you. I have just two questions please. First for Susan, can you just talk where the Foxtel debt stands now, including this Telstra debt and what kind of covenants it has and how it stands relative to its covenants? And Robert, for marked philosophical question. Warren Buffett has given up on local newspapers in the U.S. in the U.S., you have a national newspaper without local newspapers. How important are the local newspapers in Australia to your national newspapers and the rest of your Australian business? Thank you.
Susan Panuccio: Hi, Alan. Just in relation to the Foxtel refinancing, you’d be able to find all the details in the 10-Q. They will have the different charges with the interest rates and the maturity by every individual chart in there What I would say though is in relation to the covenants; we did put $700 million of a shareholder loan in subordinated, in order to provide plenty of head room in relation to the covenants. So, we have absolutely no concerns at this stage that there’s any issues with those.
Robert Thomson: And as for papers, Alan, I think yours was a philosophical question and I’ll give you an even more philosophical answer. Is it the ecosystem generally can use content is in the midst of two levels of transition. We have to change the ecosystem for news content. It is digitally dysfunction, which affects national and local papers. And then our papers, whether local or national, have to transform themselves within that challenging landscape. Unless fundamental changes take place at both levels, the havens will not be, cannot be in equilibrium. And let’s be clear, we are literally dealing with fundamental changes in the character and valued content, and it is absolutely fair to say that with Rupert and Lachlan Murdoch’s leadership, no company has been as influential on this issue as News Corp.
Michael Florin: Thank you, Alan. Eduardo, we’ll take our next question please.
Operator: So our next question comes from Craig Huber at Huber Research Partners. Please go ahead.
Craig Huber: Yes, hi. I got a few questions. You can just go one at a time please. On your last call, Robert, you mentioned a little bit today, I’d like to hear a little bit further about your relationship with Facebook. The Wall Street Journal payment there, is a room there, is just kind of think out here in the coming years to actually expand that relationship and the size of monetary payment, what’s the benefit for you? That’s my first question.
Robert Thomson: Craig, obviously, that’s an evolving relationship and not just with Facebook, but with the other digital platforms, where – I can’t obviously go into specific details about the agreement, but it is a substantial agreement, it creates new precedents. We host the content, we sell the advertising, and Facebook pays a premium for premium journalism and up until that point, that kind of precedent hasn’t been established and it is a precedent that will resonate.
Craig Huber: Do you see any, Robert, the other platform that’s like a Google or something coming down the pipe at some point when we get to payments there or is that not realistic?
Robert Thomson: I couldn’t possibly comment on other platforms other than the observation I made about the real appreciation of Sundar Pichai for the importance of high-quality journalism for society.
Craig Huber: Okay.
Michael Florin: Eduardo, we’ll take our next question please.
Operator: And so our next question comes from Brian Han at Morningstar. Please go ahead.
Brian Han: Robert, now that you’ve sold the Unruly and put NAM on the sales book, would it be fair to say that assets, such as the Wireless Group, storyful and SkyNews are also being looked at? And also Susan, in News and Information, did you guys change the prior quarter’s EBITDA number from 120 to 112? And if so, why?
Robert Thomson: Regarding your question of simplification, obviously, we love all our assets and we just acquired wireless, which is playing a beneficial role in the development of – for example, as I mentioned, [indiscernible]. Look, simplification is an ongoing process with a clear cogen purpose, to make the inherent value of the company more obvious to investors. You may have noticed, it was a complexity to the company given the mix of assets and there’d be great transition in some of the sectors. And the more – frankly, that we can highlight the value of individual assets, the more that the positive trajectory and the transparency of the company will become obvious.
Susan Panuccio: And Brian, just in relation to your question around the News and Information Services EBITDA, as I mentioned in my prepared remarks, we – this is similar to what we did last quarter. We had about $8 million of costs that we reallocated into that segment from the other segments and those costs related to various initiatives including news IQ, which is our global programmatic effort, and shared technology services that directly impact on that particular segment, which we continually look at as we look to leverage our global scale.
Brian Han: Thank you.
Michael Florin: Thank you, Brian. Eduardo, we’ll take our next question please.
Operator: It appears there are no further questions at this time. I’d like to turn the conference back to Michael Florin for any additional closing remarks.
Michael Florin: Thank you, Eduardo and thank you for all participating. We look forward to talking to you soon. Have a great day. Take care.
Operator: This now concludes today’s call. Thank you for your participation. You may now disconnect.